Leonardo Karam: Good morning. Welcome to the Usiminas Conference Call to Discuss the Results for the First Quarter of 2025. I'm Leonardo Karam, Investor Relations Director at Usiminas. For those who want to follow in English, a free translation of the webcast presentation is available on the Usiminas' IR website. We also have an interpreter for simultaneous translation. Please choose the sound channel on the icon at the bottom of your Zoom screen. All participants are logged in as listeners-only and their questions can be asked in writing in this Zoom Q&A session. The icon below on your screen. Participants listening in English will also be able to ask questions directly in this session. This conference call is being recorded and broadcast simultaneously on Usiminas’ YouTube channel. Please note that this conference call is exclusively for investors and market analysts. Please identify yourself so that your question can be answered. We also ask that any questions from journalists be forwarded to Usiminas’ media relations at imprensa@usiminas.com before proceeding. We would like to clarify that any statements that may be made during this conference call regarding the company's business prospects, as well as projections, operating and financial targets regarding its growth potential, are forecasts based on management's expectations regarding Usiminas’ future. These expectations are highly dependent on the performance of the steel industry, the country's economic situation and the situation of the international markets and therefore are subject to change. With us today, we have our CEO, Marcelo Chara; the Vice President of Finance and Investor Relations, Thiago Rodrigues, and Commercial Vice President, Miguel Homes. Initially, Marcelo will make a few comments. Thiago will then present the results. Then the questions asked in the Q&A session will be answered. I now turn over to Marcelo. Marcelo, please.
Marcelo Chara: Good morning, everyone. It is a great pleasure to be here with you to share the results of the first quarter of 2025. We started the year following the positive journey or trajectory of the last quarter. We attained 41% on consolidated revenue with R$773 million and a margin of 11% confirming our expectations of best results in the first quarter. The increase of 4% in the sales of steel in the domestic market shows a resilient demand. But our focus to keep on having better results is still in gaining competitiveness, seeking efficiency in all our operations to continue with a cost reduction trajectory that is consistent. In mining, we had 11% higher sales compared to the same period last year, impacted by the rainfall in the region and the quality was higher of the material extracted from the new mining areas, allowing and contributing to better results. For the next quarter, we have an expectation of consolidated result that is quite stable, since the sales volume – in similar volumes and the continuity of the gradual reduction in sales and in mining, the volume should be stable. Regarding uncertainties on the price of ore, however, we see a scenario that is challenging and uncertain for the second half of 2025, especially because of the high volumes of imports of steel in unbear competitive conditions, the impact of domestic consumption considering the high interest rates and the uncertainties of the international market. In Usiminas’ mission, the lack of applying effective measures to create fair conditions of competition and the strong presence and imports subsidized the main threat to the sustainability of the steel industry in Brazil and its whole value chain. Several countries have reacted against the excess of Chinese steel production. According to investors in Brazil mid last year, there were 215 defense commercial – commercial defense measures against the Chinese deal. And in the four months new – nine new investigations on protection measures against China have been applied. The rest of the world is doing what Brazil should have done already. Defending its industry, its employment and its investments against an unfair commercial practice. In Brazil, we had 43 investigations and that are anti-dumping. In January last year, several products in the metal industry, plastic, chemical and textiles amongst others and 34 only are only against China. The Secretariat of Foreign Trade has recently published the preliminary reports that are for cold rolled and also coated steel by China. Excellent work of the technical teams of the Ministry. They have found the practice of dumping with a margin of up to $645 per cold rolled and $552 for hot rolled. And although those unfair practices, no recommendation has been made of preliminary application of the anti-dumping right or law. This goes against what has happened in most countries defending their industries against the unfair commercial practices. Import data of steel in Brazil are alarming and unacceptable. In March 2025 has shown the third largest volume and import of steel in history. And the expectations are very concerning. The volume of import of flat steel has attained 1 million tons, a growth of 42%. Regarding the same period 2024, the data reports that the attempts of the country to control the problems of import of steel have been effective, have not actually been effective and they must be urgently reviewed. We keep on working on focusing on operational excellence and serving our customers via development of products and services and integration with the communities where we operate. Our main focus is care and best practices of environmental and performance and safety, in light of high commitment of our teams and our people. Thank you very much. And now I turn over to Thiago, please. You can continue.
Thiago Rodrigues: Thank you very much, Marcelo. Good afternoon, everyone. So we're going to make a brief presentation of our results before opening up for questions. Let us move on to the first slide, please. We highlight in the period the best performers in the steel industry with EBITDA margin of 9%, 2.4% point above previous quarter with an increase of 4% in the sales volume in the domestic market reduction of 2% of COGS. One of the best results in the Mining segment consolidated with attained R$733 million with a margin of 11% and net income of R$337 million. Here, we see consolidated results with higher volumes that priced both in the steel and mining. Net revenue was R$6.9 million, a growth of 6% in the quarterly comparison 10% with the first quarter 2024. EBITDA follows trajectory of growth in the third consecutive quarter and exceeds 10% margin since the first quarter 2023 and confirming our expectation of better results, as we see – as we have been communicating in previous calls. With operating strong results, we actually reverted the conditions that, we had net income higher since the fourth quarter of 2023. Here, we have some more results on results of the steel industry. We see first quarter steel sales above – 3% above previous quarter compared to the previous year 5% higher, highlighting the resilient demand in the domestic market. Even with a lot of imported steel that is subsidized, we were able to increase the sales volume. Net revenue followed the increase in volume and grew 4% R$6 billion. A smaller increase in net revenue per ton because of better prices applied to the segment, which had a growth of 44% compared to previous period of R$528 million moving up margin from 6% to 9%. Despite the improvement we see, we understand that we're still far from what would be a margin that is sustainable for the industry that enables investment to an industry that is so capital intensive as ours. We are still focused on the main goal which is improving margins with cost reduction and gaining productivity. But we also need a market that is functional with isonomic competition so that this improvement can be possible in a gradual way. As mentioned by Marcelo, the both internal and external scenarios with a lot of uncertainties, a lot of imports make it difficult to have short and long-term forecasts for the second half, we expect stable prices whilst the cost in steel industry should follow a trajectory of drop. But we are paying attention to risks associated to imports that could still impact the results in June. Hence it is key, as Marcelo highlighted, that Brazil should position itself quickly, just as many countries are doing to ensure competition isonomy and prevent the import of subsidized products that may impact the industry. On the next slide we have the comparison of the bit of previous quarter to this quarter – first quarter 2025 as commented, the effect of price and volume have contributed to an improvement in EBIT of R$64 million, whilst the cost – low cost, additional cost added R$109 million to the EBITDA. Regarding previous quarter the cost improvement was R$240 million it was a reduction of fixed costs, operational efficiency is R$35 million to reverting expenses regarding freight and R$35 million because of insurance indemnity application on raw materials. Here we see the results of mining. Sales volume was 2.2 million tons slightly higher regarding previous quarter, 13% higher to the same period in the previous year. Net revenue presented an ordered increase of 20%, closed the quarter at R$917 million. This increase in revenue was generated because of the higher volume of sales with steel rate included and also because of the higher quality of materials and lower discounts quality applied by the market. These were the main reasons for the increase of 34% in EBITDA reached R$206 million with a margin of 22%. Next quarter as Marcelo mentioned, we expect stable volumes for the steel industry. On the next slide we have financial indicators. In this quarter we had a temporary increase of working capital of R$778 million and we expect that most of this increase should be returned in the next quarter. Main reasons for this increase in working capital were first because of higher volume of sales in March as compared to the sales in December last year, which led to receiving accounts R$400 million. The natural effect when we have an increase in volume, while accounts receivable is following normal levels as the portfolio heading temporary increase in raw materials R$770 million as part of the strategy of optimizing the mix for cost reduction as our expectation is also that there should be a reduction in the next quarter. And we’ve had a reduction for fading of R$341 million. Since we have robust cash and we don’t see a need of increasing the use of this instrument. CapEx in the period was R$219 million. We expect to improve this pace in the next quarter as we keep our investment plan around R$1.5 billion for this year. With this we had a negative cash flow in R$560 million. As I’ve mentioned, we expect to revert this increase as of next quarter. The next slide we see the net debt and leverage. So cash generation that we saw on the previous slide, net debt to increase to R$1.4 billion. We still keep quite comfortable leverage level of 0.71x the profile of the debt is being equalized. As we mentioned previously, we concluded the emission of bonds in January with the best spreads attained by Usiminas showing that the market strategy has been ascertained. Since the market today does no longer have this favorable condition. We’re using these resources to buy back the bonds in 2026. We still have R$200 million outstanding that will be bought back in July when we have the right to call a par. This is the brief results presentation and I go back to Leo so that we can start the questions.
A - Leonardo Karam: Thank you, Thiago. We start with our Q&A session now. We have [indiscernible] lots of questions, Ricardo, lots of Tathiane Candini, JPMorgan, lots of people asking questions. They want to know about the behavior of prices. So what about the price discussions after the March drops? And imports are quite strong dollar falling. Is there space to keep the prices at current levels? And most people are asking about price transfers to auto industry in April. If we apply the same level of transfer that we applied in the first group in the first order, basically this is it Miguel, please.
Miguel Homes: Good afternoon, Leo. Thank you all for the question. Let us start with the closing of contract with OEMs. As of 1st of April they were – we closed negotiations and we closed with the same adjustment that is effective of the contract in January. About 3% was the price transfer for contracts as of 1st of April. Speaking of prices in other industries, it is affect as you’ve mentioned, the strong pressure that we have at the end in certain regions and industries regions as Midwest, the south of the country and north Northeast. There is a lot of pressure with an increase in imports as we’ve mentioned. Most of them in our view in unfair competition conditions added to the appreciation of real. There’s great pressure of price adjustment in the coming weeks. Up to now we haven’t changed our prices. We kept the current conditions. If we have all those factors high pressure, strong imports and increase in the foreign exchange. We analyze the exchange. We move from late 2024, so first quarter R$585 million and today a bit below R$570 million. We should certainly expect adjustment in prices spot negotiations in the coming weeks. And we also talked about expectation for the average price of first quarter. In our release we mentioned stability in price. And there is a bit the consequence of the increase obviously of the average price to be invoiced in the second quarter for the automobile industry and the update of price as of 1st April. And then we have adjustments justified by the two factors I mentioned. High imports and appreciation of the real expect to have certain stability of average price for the industrial sector.
Leonardo Karam: Miguel, so for you we have questions on Igor Guedes from Genial, Tathiane Candini, from JPMorgan and Guilherme Nippes from XP. They would like to know what kind of mix are you working on for exports. If there is any project on the pipeline to increase the aggregate value of the mix or if the price has been something specific 31st – Q1 2025 last fall. We measure certain contracted volumes in Argentina. And if you could see that reflected in the quarter, or if you can expect these volumes in the second quarter as well. And then Guilderme adds also on this Argentinian share. What has driven these increases? Please Miguel.
Miguel Homes: Thank you, Igor, Tathiane and Guilherme. Actually in previous quarter we said that we would have an improve in the imports over the first quarter compared to the fourth quarter of 2024 because of sales projects that we have capitalized and selling. We are invoicing over this quarter and this is – invoicing is keeping of import over this quarter just as our focus to serve the auto chain in the region. In our expectation today we would keep these two industries automobile industry in the region added to oil and gas projects that are already sold that will continue to be served over the second quarter. So answering the question, we expect to keep this mix of the first quarter over the second quarter.
Leonardo Karam: Thank you, Miguel. Marcelo, our next question with great interest is on commercial trade defense. We have Caio Ribeiro from Back of America, Ricardo Monegaglia from Safra, Sasson from Itaú and Guilherme Nippes from XP. They ask about the processes – anti-dumping processes, quota systems in Brazil. What are the expectations of the company regarding that? How do things change considering the announcement of tariffs in the U.S. if you have any news regarding reviewing import quotas? And if the quotas the new system theoretically would end in May if there are discussions on a potential renewal or changing the current system? And what are the next steps in this debate? If anything may be included in this debate in these expected timelines. Marcelo, please.
Marcelo Chara: Thank you very much. Caio, Ricardo Monegaglia and Guilherme. No doubt. As I mentioned in the initial speech, this is the main concern topic for the second half. Not only for the second half of the year, it's the industrial productive configuration, the manufacturing industry in Brazil as a whole. Because as I mentioned specifically to focus on the quota system for tariffs. It doesn't work. This system in a year has proven ineffective with no impact whatsoever. The fact that the first quarter in this year, we had 1 million tons of flat products. This is unbelievable. It's a factor of extreme concern. Our technical teams of MD that carried out excellent work. They found the practice of dumping with margins of over $600 of cold rolled and also coated steel. So there is damage that has. So the Chinese mills are exporting with negative margins. And for sure the quota system does not work. It has to be revised. We're part of the Directive Council of ASSO Brazil. And with ASSO Brazil, we are showing our concern to the government and we are talking. We have told them about this. This puts at risk the employment. This puts investment at risk. Not only the steel industry, but all the value chain. The import of manufactured products to Brazil is impressive and it has grown. There is an imbalance that has grown the commercial or the trade balance of manufactured products. We have dozens of million dollars. The growth has been exponential. And this actually goes against Brazilian employment, against the creation of value growth in an industrial society. So what we actually need are defense measures, anti-dumping measures. They have not been applied. Technical timelines for the anti-dumping measures is October this year. And the definition is to see how we reconfigure the quota tariff system. We have to move forward in a fast way in the coming weeks. As it's been mentioned in the previous questions. The deadlines are coming and it has to be reconfigured only to mention the quota tariff system impacts certain group of people. So we define certain items and certain features. So, and in terms of escape, there are three of them. So the average, the monthly average that was coming in 2023, were 3,000 tons. These three NTM's that have minimal technical aspects. That's why we say they are escaped. They came into the country. So we have over 50,000 tons. Well, so almost 20 times higher. We need direct, clear, visible action of defense. All the countries are defending themselves. We don't want protection. We want defense. We cannot compete with those that export with negative margins. We cannot compete with those that apply unfair commercial practices internationally. We have ability to export, to be competitive. Our industry is competitive. We can present our products and markets in the most demanding markets on the planet. But we should not. We have to defend our land, our Brazil, with players that clearly apply unfair practices.
Leonardo Karam: Thank you, Marcelo. Now, we move on to a session on margins, Thiago, please. Caio Ribeiro from Bank of America asks what margin, normalized margin you expect to attain for this deal business and what's the timing for that Thiago, please. You're on mute.
Thiago Rodrigues: Sorry. Now, Caio, thank you for the question. We have talked about this previously, what we understand sustainable EBITDA margin for the steel industry is about 50% above 15%. For an industry that requires high investment volumes to be updated constantly to move forward well in terms of growth and portfolio of products, et cetera. And we understand it's a margin that is totally possible to be a change. But we have to highlight two main blocks that lead to the margin. We have obviously the block that is internal. Our cost and efficiency performance. So on this side we know what has to be done. We know that we're going to move forward in this cost reduction over time. We have operational actions and also investments that will ensure that. On this part we have confidence that we're going to move forward to what would lead us to a margin close to the 15%. I'm not going to mention exact numbers, because I don't want it to seem like a guidance or something like that. But everything that we have planned in terms of doing, in terms of operations, and investments, we would be able to get the EBITDA margin to what we have attained in this quarter, 9%, some percent points above that, getting close to the 50%. But we have another factor that makes up the margin, which is market demand and competition capability that is isonomic, not to repeat everything that we've mentioned that Marcelo just mentioned. It's a key factor. Today the Brazilian market is dysfunctional because we have unfair competition prices that are not true, so to speak. For us to get to our result potential, that would be something above the 15%, I've mentioned. The market aspect and the, this unfair competition aspect has to be addressed. Okay.
Leonardo Karam: Thank you, Thiago. To you, I'm going to break down into two topics, the cost part. Henrique Marques from Goldman Sachs and Edgard Souza from Itaú BBA. They're asking the following. In the fourth quarter, the outlook for the first quarter was a slight improvement quarter-over-quarter for due to efficiency gains. But excluding the on/off non-recurring one-off, your cost was practically flat. If you could give a bit more color to what happened this quarter so that we can better interpret the outlook for next quarter would be great. And it adds by saying or asking precisely the same thing, but asking whether looking ahead we should expect an increase in that line of and others for historical levels. Thiago, please.
Thiago Rodrigues: Henrique and Edgard, thank you for your question. Well, yes, in this quarter we've had two one-off effects as you mentioned, insurance indemnity reversion of provision. Without those effects, the reduction of our COGS would be about 1%. In this quarter, we still had an effect. There was negative due to foreign exchange rate. The peak of December time that we got to 620 impacted this quarter, Q1. And in addition, we have raw material price reduction. You can check in the market indicators that are happening especially from February. Well, price of slabs and also coke that will positively impact next quarter. Next quarter, we follow with the gains in efficiency as we've mentioned and possibly we're going to have positive impacts due to the foreign exchange rate and price drop in some raw materials. We have to remember that the foreign exchange has an important part in terms of cost. All the raw materials that is consumed by using minutes is basically related to dollars. All the raw materials received in the end of previous quarters, the highest exchange rate in the past month. So this obviously has an impact when we look at COGS per ton first quarter compared to the last quarter. So the drop of the foreign exchange [indiscernible] that we count today still has not gone through the results. And keep this trajectory dropped. This tends to positively impact the next quarter.
Leonardo Karam: Thank you, Thiago. We have something to add to this part. Edgard Souza from Itaú? He asks whether sorry, the better efficiency cost reduction of raw materials should more than offset the increase of this line of others that we have in the first quarter.
Thiago Rodrigues: No, Edgard, the line of others is just a simplification because there are many effects that contribute to the cost composition and all the effects are towards increase in productivity, efficiency gains or positive effects due to raw material prices. We don't expect to have a reversion of this line of others in the next quarter. So the trend tends to be of improvement at least in the next quarter.
Leonardo Karam: [Indiscernible], Thiago, also Ricardo Monegaglia from Safra; Stefan Weskott from Citi. They asked the following. Could you quantify cost drop per ton that we should expect in the second quarter and until the end of the year? What cost lines have greatest potential for a drop compared to current levels? On the expectation that lower COGS per ton, Stefan adds, could you clarify how much of this comes from the effect of a weaker dollar and how much in the operating improvement? Thiago, please.
Thiago Rodrigues: Ricardo, Stefan thank you for your question. We usually define the price per ton or the increase per ton because there are many variables that impact it. We prefer to point to the direction we're following. In other words, there is still potential of cost reduction both due to efficiency are attaining a highest level of efficiency, especially in the blast furnace three that follows quite stable in terms of performance and also foreign exchange rates are changes without our interference. That's why we do not open this kind of detail. Looking at the changes that we've seen, the first quarter of 2025 reduction of 2% and 1% was a one off percent, one off 1% effect and the other one was due to efficiency. I'd say this level is what we can consider in terms of what we expect of reduction for the next quarter. And opening up on what happens to the dollar exchange rate. It depends on the fluctuation of dollar over the period where we can model that easily. As Miguel mentioned, 60% of our cost is based on dollar and is paid to the dollar. So it is in the midterm tends to follow the dollar exchange rate.
Leonardo Karam: Thank you, Thiago. We have a question on cost that goes to Thiago and Marcelo. Igor Guedes from Genial asked how much cost reduction the PCI for the blast furnace three should impact it? Could it actually mean something related to third party slabs? Thiago, please.
Thiago Rodrigues: I will make a brief comment and turn over to Marcelo. The cost reduction of our PCI project is important. This project will enable us to almost double the use of PCI in their blast furnaces and reduced the use of coke practically in the same proportion, not precisely one to one, but close to that. And so this brings important benefit to PCI always cheaper than coke. I wouldn't say that the PCI impact reduces the dependence on third-party slabs. Of course, the analysis of marginal cost and benefit of buying third-party slabs are producing slabs and transferred to [indiscernible] high cost. This is an analysis that we make weekly or almost daily. So there are other factors that could also lead to reduction increase and reduction of acquisition of third-party slabs. And the PCI project follows the way and our expectation is to complete the investment by the end of this year and start operations early next to where when we should start seeing this benefit of cost reduction. Marcelo, would you like to add?
Marcelo Chara: You have been very clear. I would just like to add that the PCI project is part the project of competitiveness improvement of the all upstream of Usiminas. We are implementing it and it's going very well. And we are using state of the art technology. Our expectation is that could be positive and also cost reduction and increase in efficiency. The injection of this kind of coal allows us to reduce the coke costs generating a much more efficient regime. And we are following all of that as Thiago mentioned late year, early next year we should have adjustments made. We're doing the fine tuning to start our test in the blast furnace number three.
Leonardo Karam: Thank you, Marcelo, Thiago. Thiago, we have a last question on Lucas Laghi, Guilherme Nippes from XP asks you to comment on fall coke price acquired in the fourth quarter and price of slabs acquired in the first quarter compared to the previous quarters. Please Thiago. You're on mute.
Thiago Rodrigues: Thank you Guilherme for your question. And the two cases both regarding raw materials and slabs. I'm going to turn over to Miguel to comment on it. The negotiations follow market indicators, so there are indicators that are published and show the evolution of price of those materials. The case of coal and coke have trajectory downstream or a downtrend and this is happening. This reflects our negotiations and the price of materials acquired. Slabs follow the same dynamic and we have been observing major recent drop in those indicators. Miguel, if you would like to add?
Miguel Homes: The purchase of slabs is related to this international market, obviously with volatility and uncertainty generated by tariffs announced by the U.S. generated opportunity of buy slab. That lower price to previous quarters and this linked to the appreciation of reais can say that the purchase of slabs in reais per ton has shown a drop in the previous.
Leonardo Karam: Thank you. Thiago. We're going to go into working capital. Ricardo Monegaglia, Safra; Henrique Marques from Goldman Sachs; and Rafael Barcellos ask about SG&A and working capital. Are we seeing both increasing considerably at the first quarter 2025 and can we consider that a new level or should we expect a normalization of both? And Rafael add by asking if we expect cash generation in the second quarter 2025, please, Thiago.
Thiago Rodrigues: Thank you Ricardo, Henrique, Rafael. Yes, we expect a return of this increase in working capital in the second quarter. So the share of working capital increase by accounts receivable because of higher sales depending on the sales of June should be stable. If volumes and prices are stable, we don't expect return there. We expect a reduction of the raw material inventory and a return to the level of accounts payable with suppliers, similar to what we had December last year. So we expect at least 50% of the increase of working capital that we've seen in this quarter that this should be returned in the second quarter. That should generate a positive cash generation.
Leonardo Karam: You mentioned second semester, but actually he's correcting himself. It was quarter. Thiago to you, we had some questions on our outlook that we shared and the release on the expectations. So Tathiane Candini from JP; Caio Greiner from UBS, they asked, well, do you expect stability in the steel unit and net revenue per ton that is stable and you have an expectation of drop because of the – in the whole cost drop. Why do you expect stability in the unit not an improvement actually? And Caio asks the same thing and why are you moving towards stability considering those moves we are talking about?
Thiago Rodrigues: Good question. It's good to clarify that the outlook actually is of stability in regarding – in the steel industry regarding volumes and prices, but with an expectation of cost drop that would lead to an improvement of results in the steel part. Whilst in mining, we expect volumes also relatively stable, but possibly with a reduction of the result because of lower ore prices currently and future prices that we are observing. So just to clarify the outlook is disregarding results positive in steel side and more negative in mining.
Leonardo Karam: Thiago on CapEx we're going to have a section on topics we have quite a few questions on topics they asked about, our CapEx guide is R$1.4 billion to R$1.6 billion for the year. If this is maintained you could comment on how new investments are going PCI the overhaul of the co, and this debates for MUSA and if the weaker CapEx this year could indicate that we are close to the lower limit of guidance that we mentioned which is R$1.4, if the expectation referred – add sticks with it for second have to be more challenging, what can change in this strategy and the expectation of investments for the year. Thiago, please.
Thiago Rodrigues: Thank you. Let me try to address all the points. First, our forecast, our plan for investments is maintained and so our estimate for this year is still R$1.5 billion with this plan obviously the investment pace tends to increase as of next quarter. The amount invested this quarter was below this curve so we should have an acceleration as of next quarter. Investments of PCI we've mentioned, I'm not going to repeat that we talked quite a bit about that. The hot repair in the coke mill is under way. We had, we stretched the time for the whole overhaul of the coke mill and this impacts the disbursement over the period. So we have a lower CapEx disbursement over the period, but the overhaul is going well. We just started the third, part of the third group of blast furnaces that are being overhauled with that we gain more performance in the coke mill. Regarding MUSA, no relevant changes regarding what we have been talking about. We keep on working in this project detailing in the engineering part also moving on with environmental licensing that should be completed part of it should be completed by the end of this year, so we keep on working with a possibility of our being prepared to make a decision on investments mid next year. Obviously, if there are any changes regarding this expectation, we will communicate, but the timing or the schedule is designed in this way. With regards to the second half and how this could impact our investments, comment and if Marcelo would like to add, feel free to do so. As we've mentioned, at some points the visibility is very short-term. There are a lot of uncertainties in the domestic market due to the high interest rates and how this will impact the economic activity. And still demanding when this will happen up to now we follow with a quite resilient demand. But those uncertainties generated due to this trade war and tariff war of imports brings up a lot of uncertainties. Possibility of trade deviation increase and the – steel import levels. Not only steel, but also manufactured products. And all of these are things we are following in a very constant and close and attentive way. And any relevant impact in terms of demand will lead to the necessary actions taken by us. So far we haven't seen that we keep our R$1.5 billion [ph] investment plan. But in the cyclic industry like ours, we have to be prepared to take the necessary measures to go over a more difficult period.
Marcelo Chara: I would add to what Thiago said, that the structural process we are moving forward. So we have PCI and the [indiscernible]. If the measures are not taken, effective measures are not taken to avoid subsidized steel imports. We're going to revise our investment plan in the second half. Because if those volumes are not what they are, we could be providing much more employment. We have idle capacity because we're not covering. Because we cannot compete with those that import, subsidize steel. And this is our main concern. So we have to defend the Brazilian industry. It is committed to the country. We pay all taxes and now we refinance debt at market rates, as we do, as it is correct to do. But we cannot compete against those that have subsidies in all balance sheet lines. And they produce, export and sell to Brazil at costs or at prices that they cannot even cover the metal margin. So we're very concerned regarding that in sort, so investment levels are maintained, but possibly we can reduce that. And this will mean slowing down the projects that are not linked to the environment. So they have total priority. But if have import of steels at this level, so there are other projects. So we have been able to make a forecast of what imports on manufactured products and also steel. The forecast for this year is an 100 million tons of steel in manufactured products. They are also Brazilian jobs. Investment of our value chain, our client and all the value chain if they continue importing subsidized products to Brazil. We have to revise our investment plans. This is the core topic that the whole country, the institutions, the government, the federations, we are trying to sensitize at all fronts to ensure a higher isonomy level.
Leonardo Karam: Thank you, Marcelo. Our last question. We're about to end. We have a last question. Igor Guedes from Genial asks about mining Thiago.
Marcelo Chara: For MUSA, we've noticed the possibility of a richer mix of iron ore that we expect. We know it's a quarter with fewer discount, but it's still possible to think about this volume of resilience with opening of new mining fronts to offset the ease [ph] treatment unit more sustained mixed with greater iron content. Thiago, please.
Thiago Rodrigues: Thank you, Igor, for your question. Yes, we actually have a more enriched ore mix because of the new mining – that we started late last year in December. And this led us to make our mix to be more enriched with greater iron content and also silica. And this should be maintained in the next quarters. So we have a sale of a product that is more noble with less discount. In addition, the market discount, the percentage of market discount applied to each percentage of iron or silica has also been reduced, which has boosted this positive effect. Regarding volume, we also maintained the stability you with the ease treatment plant out of operations, we were able to increase the productive level of the other plants of MUSA. And we've added certain the purchase of third parties. And we should keep the stable level during the year until the return of the East plant.
Leonardo Karam: Thank you, Thiago. With this, we would like to close our Q&A session. We would like to thank you all for your participation. Remind you, if you have any questions, the IR team is available to serve you. We've seen that there are some questions that have not been listed here. We are available. The whole IR team is available for any questions and everything. Thank you very much and have a good afternoon.